Operator: Good morning, and welcome to the Jacobs Engineering Fourth Quarter Fiscal 2012 Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Patty Bruner to read the forward-looking statements. Ms. Bruner, you may begin.
Patricia Bruner: Thank you, Denise. The company request that we point out that any statements that the company makes today that are not based on historical fact are forward-looking statements. Although such statements are based on management's current estimates and expectations and currently available competitive financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause actual results of the company to differ materially from what may be inferred from the forward-looking statements. For a description of some of the factors which may occur that could cause or contribute to such differences, the company request that you read its most recent annual report on Form 10-K for the period ended September 30, 2011, including Item 1A risk factors, Item 3 Legal Proceedings and Item 7, Management's Discussions and Analysis of financial condition and results of operations contained therein and the most recent Form 10-Q for the period ended June 29, 2012, for a description of our business, legal proceedings and other information that describes the factors that could cause actual results to differ from such forward-looking statements. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements, whether as a result of new information, future events or otherwise. Now, I'd like to turn the call over to John Prosser, CFO of Jacobs, to discuss the financial results.
John W. Prosser: Thank you, Patty, and welcome, everyone. I'll quickly go through the financial highlights for the quarter and the year and then I'll turn it over to Craig Martin, our CEO, to give us a more in-depth business overview. If you turn to Slide 4, in the package, these are also the information that was reported last night in our earnings release. We did have a very good quarter and year with diluted EPS of $0.83 for the quarter and for the year came in at $2.94. In both of these numbers included is a $0.03 one-time gain that arose from the sale of our iron ore palletizing technology. Also just to clarify that, we do still continue to have active projects in utilizing that technology, but the part that we owned of it, we sold to the equipment manufacturer that felt that they could take better utilization of the technology itself. So it's a one-time gain but it's also a continuing part of our business. Backlog for the year ended up at $15.9 billion. That's up both from the quarter and from last year strongly. We had a very good book-to-bill for the year, 1.15. And so we continue to have a strong balance sheet. Our total cash position was just over $1 billion at the end of the year. Net cash was over $500 million. And we're initiating guidance for fiscal year '13 in a range of $3 to $3.50 per share. You see on this Slide that it says fiscal year '12 but that is for '13. Moving to the next Slide, this just shows track of our growth over the last 6 years and underneath, the earnings and earnings-per-share graph show our 10-year compounded annual growth rate. So while we dipped under our long-term rate of 15%, we still are tracking very close to that and believe that, that still is our long-term goal of being able to perform at that 15% annual compounded growth rate. Turning to Slide 6, history of our backlog shows nice growth, again, over last year, both in the Field Services and the underlying technical professional services, as we've been talking about. If you look over the last few years, our technical, professional services have been leading our growth and now we're starting to see that the transition to where that work is moving more into the field. And so over the next -- certainly, over the next 12 to 18 months, we would expect to see the Field Services component of our backlog and of our operating revenues to start increasing going forward. And with that, I will turn it over to Craig Martin to go into more depth on the quarter.
Craig L. Martin: Thank you, John, and good morning, everyone. I'm on Slide 7 now, with title: The Growth Strategy. We continue to be focused on 5 main elements to grow the business. Our relationship-based business model, our focus on diversity in our markets; a geographic presence that's multi-domestic in nature; and a cash position that lets us make acquisitions and accelerate our growth. I'll talk about all 4 of those more in a moment, but the last element is the continue to drive down costs aspect of our strategy and I'll comment about that here. We had a really good quarter from a G&A control point of view. Was very pleased with our performance and it put us in a great spot in terms of the earnings for the quarter. Next year, on the G&A side, it will continue to be a challenge. It's a tough market out there. We've got to keep our G&As down. First quarter may be particularly tough in that regard. But I think overall, our cost position remains excellent and that's in the face of slightly improving margins. And I do mean slightly. They're improving but it's very slowly. The private sector margins are improving. They're better but it's not any kind of a run-up. We're not looking at any kind of bubble that would drive margins up significantly. And the public sector is frankly as competitive as I think it's ever been. That's good for us because of our cost posture and that business still is higher unit margins than the private sector, but it is a tougher market from a cost perspective than it has been in the past. Moving on now to Slide 8, this is about our relationship model. We talk about this all the time, both internally and externally. It's a very important part of who we are and how we approach the business. And it's all about building these long-term relationships. When we do that, we get the clients to trust us and to share their plans with us and we get a knowledge of where they're going and that allows us to drive continuous improvement and high value. And obviously, when we do that, we get repurchased loyalty which continues to strengthen our long-term relationships. The benefits to that are, for us, are growth, lower cost of doing business and manageable risk. All that should drive a steady earnings growth and I believe that for the most part, we have shown that it does. So it's of good model. It's not a big events model. One of the things I think is a positive for it is it doesn't depend on a large number of large projects out there in the world and faraway places for us to be able to get our growth. Slide 9 shows the market diversity and I'm going to talk about each one of the groups of markets individually, so I won't spend much time on this Slide. But it does give you a perspective of how our business is divided. Moving on now to Slide 10, let's talk about the public and institutional aspects of our business. That's really made up of 3 major parts. National governments, infrastructure and buildings. Let me start with the National Government business. We have a very strong reputation in that business. The aerospace and defense aspects and national government, in particular. A lot of the work that is being released these days, being released is Multiple Award Task Order Contracts, what we call MATOCs. That turns out to be a benefit to us and that we are now penetrating more sites and developing more capability on a more diverse basis than we have in the days of single award contracts. There's still a few single award contracts out there but there's a lot of this MATOC business. And in the aggregate, we're growing in that aspect of the business relative to what you might otherwise expect. There's lots of nuclear operations and maintenance work out there, as well as good opportunities in the nuclear weapons complex, both in the U.S. and in the U.K. A lot of that's being driven by this government-owned contract or operated model. This is what we do, for example, at AWE and at the Arnold Engineering and Development Center. Those things are becoming increasingly fashionable as ways to deliver these huge programs and it's a strength of Jacobs that we think will be a real positive for us. There's also lots of activity in the intelligence world and in cyber security and we're increasingly well-positioned for that. So while the market is not growing and we don't expect that it will grow, we're strengthening our market share faster than it's growing and so we expect that, that business will be okay from our standpoint as we go into '13. The infrastructure market, we have described here as good. I think it is actually little better than that at this point. Lots of activity in the rail markets globally, lots of activity in user-free fee-driven programs, water and wastewater, utilities, telecommunications are all very active areas. And we actually had quite a good election period, both from the infrastructure and buildings business in that over $30 billion worth of bond issues passed just for either infrastructure or buildings-related work. So that's a big positive for us. And we have the ability to deal with both the buildings aspects and the infrastructure aspects with our business and I think that adjacency is going to give us a competitive advantage. We described the buildings market as mixed. Certainly, there are parts of it that we're not very active in, retail, commercial building is very poor. The parts that we're in are better than that. We're a global leader in mission-critical facilities. That market is estimated to be about $50 billion. It's going to stay that way for the next few years and then escalate to something more like $80 billion by the end of the decade. Those higher ad -- and K-12 type bond issues that passed, just the ones that we were tracking closely because we think we have a very strong position amount to more than $6 billion of potential work. And then healthcare continues to be a great strength for us. When you look at it overall, the Affordable Care Act or ObamaCare is going to have a positive effect on our business, both from hospitals and from a pharma point of view because there are 30 million new users as a result of that legislation. When you look at the backlog, it's flat quarter-over-quarter, moving up year-over-year. We're in a particular interesting situation with respect to national government's backlog and that we have a couple of our very large single-award contracts that are up for recompete. So the backlog is curtailed until we win those recompetes. And we're pretty good at doing that, so we feel pretty good about where this business is going and where it's going to be as we move forward. Moving now to Slide 11, this is our process businesses, chemicals, upstream oil and gas and refining. Let's start with refining. Right now, our refining customers are getting good margins and for the most part in the refining business these days, cash flow drives investment. So good margins means good cash flow. Good cash flow means spend money to get more good margins. There's an additional uptick in capital spending on environmental and regulatory projects. And again, we have the crude slate moving around and changing the configuration of refineries and we expect to see a fair amount of work resulting from that configuration set of changes. Things like ANS crude going away. Bakken and Eagle Ford crudes coming in are going to impact a number of refiners, and that's just one example. We've got a great set of client relationships here with the major refiners and we have developing relationships with some of the companies who are in the refining business only. In addition, the refining business is very strong for us in the Middle East and in India. So those are 2 bright spots. Oil and gas, also very strong. We continue to be the premier player in the SAGD aspects of the oil and gas business. We also continue to be a growing company in dealing with tailings disposals, those kinds of issues with respect to the mining side of the business. So that's good. And then we have what's happening in unconventional gas is going to be a huge global market, tremendous opportunity not only for the process-related aspects of that, but for the surrounding infrastructure. And frankly, it ideally suits us as a company. Both the project sizes and the wide geographic distribution fit our business model quite well. We think we'll see a fair amount of conversion for field-related activities as we move into the second half of FY '13. Chemicals, also very strong, driven by low-cost feedstocks for the most part. This is, again, a very strong aspect of Jacobs' business, and one where we're seeing tremendous growth. Just the U.S. engineering requirement, this is for all of those of us in the business, is forecast to grow from about 4,800 engineering people today in the chemicals and unconventional gas business. So 4,800 engineers to 12,000 by the end of FY '13. So that's tremendous growth in both the oil and gas and chemicals business, that combined aspect of what's going on. And then we're seeing a lot of good activity in terms of winning projects outside the U.S.: Middle East, China, Singapore, India all good. The backlog story is good, up nicely quarter-over-quarter and year-over-year and I think we'll continue to see good growth in backlog in that business area. And now finally, turning to industrials, Slide 12. Pharma/Bio, mining and minerals and sort of a whole bunch of other stuff: Power, pulp and paper, high tech, food and consumer products. The Pharma/Bio business is pretty stable. It's not a big growth market but it's not a bad market either. We have the position of sort of being the last man standing in the sense that some of our competitors quit the market a few years ago. Their businesses are weaker in other aspects. So we're seeing some attempt to get back in but they're not being very successful. There's a lot of money being spent in secondary manufacturing, things like presence in China is significant there, Singapore, India, South America. We won a number of projects over $100 million. We wish our customers would let us announce them. And we think that growth prospects in North America and Europe are not terrible. Interestingly, a couple of days ago we won the International Society of Pharmaceutical Engineerings Facility of the year for the fourth time and we won that Facility of the Year award 2 of the last 3 years. So we're proud of the work we're doing for these customers. Moving to mining and minerals, we've downgraded this market to strong, from very strong and I think that reflects what we're seeing, particularly in Australia, in terms of what's going on. But I think it puts us in a great position to expand our market share. The small-cap work will go on and our ability to penetrate that work should be a positive for us as we move forward. Projects in the Americas, both North and South America, remain steady. The conversions to EPC or EPCM are active and we think we're going to benefit from some of that. And the market continues to be one that's very conducive to our relationship-based business model. So we think that's a plus, particularly because we can offer full service to these mining companies and some of our competitors cannot. Another aspect of our position is our cost model is really quite positive for us in terms of taking market share in this slightly softer market. Still a lot of work out there but a lot of focus on cost effectiveness and price and we're in a good position to leverage that. Moving to the collection of markets at the bottom of the Slide. Kind of a mixed bag. Pulp and paper is good for us. Again, we're kind of the last man standing in the U.S. and we're picking up some projects around the world. We're seeing some activity in food and consumer products, particularly in emerging markets. Again, something where our multi-domestic market helps us. And our share in the power market, although still quite small, continues to grow and we do see about a $4 billion market that we think we could address from where we are. You can see backlog is up 14% year-over-year although it's flat quarter-over-quarter. We think it's going to continue to be a business that we can grow out into '13 and beyond. Moving on now to our geographic diversity. Just quickly talk about each of our major geographies. In North America, the story is oil and gas and chemicals for the most part and robust activity in Canada, robust activity in unconventional gas and oil, a lot of chemicals activity including some very significant projects. And then the infrastructure business has come back a little bit. We're seeing some strength there in rail, transit. Talked about schools and healthcare. Aerospace and defense, I talked about earlier. And then the Mining & Minerals business seems to be relatively steady in the western U.S. as compared to, say, somewhere like Australia. Moving to South America. We're still actively recruiting because we're very busy in South America. We're increasing our stature as a major player in the mining and minerals market. We're seeing opportunities for emerging oil and gas, Pharma/Bio and food and consumer products activities. And as I'll mention a little bit more in my discussion about acquisitions, Brazil is increasingly attractive as an opportunity for growth. Moving to Europe and North Africa. Lots of spending by the MOD and all that looks very interesting to us. We have a very strong relationship with OCP in Morocco and we believe we're going to be able to leverage that for some significant growth. And then there's a fair amount of activity, this is probably where our Power business is the best and where we're doing extremely well with water, utilities and rail from a growth standpoint. Moving out to the Middle East. The process businesses, all of them; refining, chemicals, upstream oil and gas, midstream, all very active for us. Still a huge amount of potential spend there or planned spend, and we think that'll be a good solid market and a real growth opportunity for us for a long time to come. We're also seeing opportunities to diversify pretty aggressively in buildings and infrastructure, picked up some major rail programs, some major building programs that we think will be the foundation for a nice growth there as well. In India, our historic businesses continue to expand. We continue to see additional work from our customers like Indian Oil and Reliance. We're seeing some additional work in fertilizers and some of the chemicals that have been a long-term strength of Jacobs. The Infrastructure business is picking up as well. The Indian government plans to spend $1 trillion in the next 5 years on infrastructure. We all know there's no way they'll get all that money spent, but we think they will spend a substantial amount of it and we think we're well positioned to take advantage of that. China and Southeast Asia, we're in a great position there. Our operations in Shanghai, Hong Kong and Singapore pretty well bracket the business and we have a lot of opportunities for growth in that part of the business as we go forward. And then Australia, I think it's a matter taking share at this point in time. It's not a strong market for mining and minerals. It remains a fairly strong market for oil and gas. And I think we'll be able to take advantage of that, particularly with our relationship model and our focus on the small-cap and sustaining cap kind of work. So that's our geographic diversity discussion. Moving onto Slide 14, we're going to continue to make acquisitions. We're not going to force them but we think there's good opportunities out there. Geography wise, that's Australia, Brazil, China. Markets wise that's oil and gas and mining and leveraging niche markets where it makes sense for us. And always, we look to add core clients to our business when we do that. An example of what we're doing is our recent acquisition of the PMCM business of Lend Lease in Australia. They're an infrastructure PMCM company. It's not a very big acquisition but the infrastructure business in Australia is projected to grow at about 6% compound rate for the next 3 or 4 years, '13 through '16. And I think we'll be positioned well to take advantage of that with our global skills and now our capability in country. So that's the story of acquisition I would characterize on the niche side that's going to help us grow. So with that, I will turn to Slide 15. Slide 15 is sort of our commercial for why Jacobs? We've got, I think, a great business model, particularly for this time on the world. We are geographically diverse and able to be local to our clients, which I think is going to be increasingly important, particularly in things like unconventional gas. We've got a great balance sheet and good cash position. I think that both funds organic expansion but also lets us make really strategic acquisitions, and I think the next year or 2 are going to be some great opportunities to do that. And I've talked a lot about our cost position. I think that's critically important as we go forward and I think we're quite well-positioned to take advantage of a low-cost structure. So with that in mind, I'll turn it back to Denise and we'll take some questions.
Operator: [Operator Instructions] Your first question will come from Jamie Cook of Crédit Suisse.
Linda Yuan: This is actually Linda Yuan in for Jamie Cook. Could you guys talk a little bit more about guidance, specifically the drivers to achieve the low-end versus the high-end and then sort of what you would need to see to get to the high-end?
John W. Prosser: Well as you all know, we don't typically give guidance within guidance. The range is what it is. But obviously, there's lot of activities out there in the world that are very mixed. As Craig went through the markets, there are some markets that are very strong. Looked like they're getting stronger and, certainly, if we're successful in doing what we think we can, those will help drive performance over towards the higher end. On the other hand, when you look at the economies, particularly even just here in the U.S. with some of the issues that are being addressed between now and the first of the year, that need to be addressed by Congress and such, there's a number of potentials that could have some negative impacts on activities. And with economies in other parts of the world that are questionable, I mean, just look at China which any given day you read articles about China and you have such a wide range of expectations from very low growth, things are really much better than everybody anticipate. So there's just an awful lot of mixed signals. So I think that's driven us, as we've looked at it, to have a little bit wider guidance than what we have in the past and just because there is a lot of opportunities for both pluses and minuses throughout our operations and around the globe.
Craig L. Martin: Just to amplify. I've seen 6 forecasts for China growth next year ranging from what people are calling a doomsday scenario of 4% or 5%, all the way up to 9% or 10%. It's pretty hard to sit here today and predict what those various growth rates might mean. The same is true with something like sequestration. We could get the full bill as it's outlined today. We could get some form of sequestration light or we could get none at all. And it's pretty hard to tell what those things mean. So it does drive a pretty wide range and as you can imagine, big growth in China and no sequestration would be more positive for Jacobs than the opposite.
Linda Yuan: And then I know you guys mentioned that, first quarter, the G&A could be particularly tough. So I mean, how should we kind of think about the cadence of EPS through the year? Is the first quarter going to be in effect from that or...
John W. Prosser: If you look out for the year, the first quarter, because of holidays and such, it always is a little tougher quarter on the margins, particularly as we've, last few years, had a greater part of our business coming from the technical, professional services that are more impacted by holidays and such than Field Services just because of fee flow and things like that. Added to that, with the change in administration, even though the elections came out pretty much status quo, there will be changes in cabinet posts and in some of the appointed folks just because of the natural turnover even when you have the same parties in power and same people in power. So get a little bit of -- work could get a little bit slowdown in some of the activities and such through the quarter. Even an event like Sandy on the East Coast, we have a number of people up and down the East Coast. So offices were closed for a few days and so you have an impact on margin. In the short term, they probably will have some impact on the first quarter but actually, with some of the other work that's being picked up from that, because of our relationships with a number of the agencies in the cities and states who are affected as well as the federal government, we'll probably see a little pickup in overall business and evaluations, and just restoration and work and such like that. So over the year, it might be a positive, but in the short run, in the first quarter, it could be a little bit of a negative. So when you put all those things together, we'll probably see a pattern where the first quarter is a little softer than trends. Like last couple of years, it might be a little down from the fourth quarter to where we'll see a pickup through the year with the end of the year being strong. So I wouldn't be surprised by a pattern that has been similar to the last couple of years as in this last year, we did have a significant down in the second quarter. I wouldn't expect to see that in any given quarter.
Operator: Our next question will come from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: The first question is really in regards to your book-to-bill. For several quarters now, you've done a great job. In fact, for at least the last 7 quarters, we've seen book-to-bill of about 1x and over the last 4 quarters a very tight range of 1.1 to 1.2. As we look into 2013 and in general, even with the uncertainty, it seems that you're barely optimistic on Jacobs' market positioning. Do you expect book-to-bill to stay within that range or is there some possibility of that also being exceeded?
Craig L. Martin: I think, in general, Tahira, the book-to-bill will stay in that range. Again, because of the change in the administration, this current quarter maybe a little weaker from a book-to-bill standpoint. The government slows down its release of contracts as it goes through all these transitions. But overall, if you think about the trailing 12 through the year, I think for the most part it's going to be in that range. Is that fair, John?
John W. Prosser: Yes, I think one impact as we look forward is if we are successful in conversions and such and we see the pickup in construction and construction management activity, that might push it a little bit higher. But that would be the major -- the only change that I would see that would be something that would push it above that kind of the 1.1, 1.2 range.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. And as you know several of your peers have given, like yourselves, very bullish commentary on the petrochemical opportunities shaping up in North America. You had a very strong positioning there in the 1990s and even onwards. How do you see your market positioning going into this potential cycle versus the last cycle? Are some of your peers now bigger and better placed or do you feel that you eventually will have pretty decent market positioning for the cycle?
Craig L. Martin: I think in terms of the petrochemical cycle that we think is coming up as a result of these low gas prices, we're extremely well positioned. Probably as well-positioned as we've ever been. We have strong relationships with the major spenders. We have geographic positioning that's better than most of our competition. And so I think if anything, our opportunity to take additional share of whatever the pie turns out to be is pretty good. We also have scale that we certainly didn't have in the '90s and I think that'll be an advantage to us as well. And we have the largest high-value engineering center, I believe, of any of our competitors in India. So the cost effectiveness of our offering is probably as good or better than you can expect to see from anyone else. I think it all adds up to a real positive and that's why I'm particularly bullish about what the petrochemical cycle could mean to us. That being said, there are parts of that business that we will not be active in. For example, we don't have ethylene technology and we won't be the primary engineer or contractor for the inside battery limits kinds of work where those kinds of technologies or similar technologies are involved. On the derivatives side and the sort of OSB, our outside battery limits, that means utilities and offsites, that business is, again, ideally suited to Jacobs. We're working already at many of the sites where these big investments are going to go. We know those sites well. I think that, again, will help us take a disproportionate share of the business. But as you know, it's a fiercely competitive market and there are lots of us in it. So all that has to be tempered a bit with lots of competition.
Operator: Our next question will come from Andy Kaplowitz of Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Craig, you guys are the, I guess, the last to report in the MCN. It's been a pretty weird quarter, honestly. Very mixed across the space. A couple of guys looked very good. A lot of guys kind of talked about a little bit of slowdown in some of the large projects. I know you guys are pretty diverse, I mean, mostly focused on small to midsized stuff. But how would you characterize the quarter in terms of did you see a slowdown in any of your businesses or is it because you guys are maybe a little more North America than some of the other guys that -- and Middle East, you guys have remained strong and those are probably the 2 strongest areas of the business.
Craig L. Martin: We saw some real negatives in Australia. I think I mentioned that we thought that we would see that last quarter, and we did. So there, particularly in the minings and minerals business, that was a painful experience for us. But we're not yet a giant player in Australia. We're not a WorleyParsons or one of those companies in the Australian marketplace. So the overall impact on our numbers wasn't as significant. Around the rest of the world, the markets remained pretty strong and in proportion to my comments about them earlier today. So the markets that we said were strong are very strong, remained strong or very strong. The markets that we said were improving or mixed, pretty much stayed there as well. The good news is we didn't have any markets really going south on us like, say, other than the geography of Australia. And I think that was a positive for us during the quarter. We also had a quarter that was not dependent at all on big events. That's been true for some time now and I think that's a positive as well in terms of where we're positioned. It's not to say there aren't some big events out there. But it's not where we're focused and I think that's -- our business model is doing a good job of helping us continue to growth in a play -- in a market where maybe if we were a big event company, we'd be having a different conversation on this call.
Andy Kaplowitz - Barclays Capital, Research Division: Craig, is it fair to say that you're focus on SAGD and oil sands is what sort of protects you from slightly lower oil prices and some of the commentary that we've heard out there about some projects moving to the right?
Craig L. Martin: I certainly think of the SAGD side of it is the less sensitive from an oil price point of view, although that’s not to say it isn't sensitive, because it is. I think there also some sensitivities to SAGD by terms of what's happening on the unconventional oil and gas side and whether some of those reserves will be cheaper to get. But overall, I think SAGD businesses is going to continue to be good for us and like I say, we are getting in the back end of some of the mining and minerals style projects, the mine to sands. But I do think the mining-related projects probably have the most chance of moving to the right, and that's really not where we spend our time and energy.
Andy Kaplowitz - Barclays Capital, Research Division: And John, you know you guys like to sort of downplay, I think, the margin improvement a bit. I mean, let's call a spade a spade, that you did pretty good margins in the quarter, 6%. I don't know if I remember Jacobs doing those margins. Some of that probably is maybe the Aker mix is helping a little bit, but I know that's a small portion of the business. So I guess my question is, I mean, is this a little better than just a tiny bit of margin improvement, Craig or John? Like it seems pretty good to me in the quarter.
John W. Prosser: Well, there's all mix of things that improved our margins. One was we did have a very good operating quarter and I think as we've talked before, there's always things that go up and down at any given quarter and this was a quarter that was very clean for many surprises or unusual cost or things like that. But also, with our billable hours moving up and activity moving up, we're seeing an increase in our activity that we're moving to our value engineering centers like India. That actually has a beneficial impact on our margins because we are able to maintain close to the dollar level of margins on those hours, but obviously the cost base is much lower. And as we share hours between 2 or 3 different offices. So that does have a positive impact in the overall mix. Craig mentioned in the -- we do have different margin profiles between, even within the professional services and technical Services, between different markets just because of the way pricing is developed and such like that. So I think there's a lot of factors that move it from quarter-to-quarter but underlying it is the fact that we are seeing pickups in pricing and in the positive mix that we're getting from the Middle East, from -- this workshare is all going together. In the quarter, we had a good level of activity in turnaround and field, which actually the turnaround tends to not have as much of the pass-through cost in it that pure construction would have or total construction. So it tends to have a little bit of a margin impact, positive margin impact as oppose to the larger construction projects.
Operator: Our next question will come from Scott Levine of JPMorgan.
Ankit Varmani - JP Morgan Chase & Co, Research Division: This is actually Ankit Varmani in for Scott. So just as we are getting near to this fiscal cliff, I just wanted to ask like what's your sensitivity to various outcomes? Which parts of the business are more exposed than others, if you can just elaborate on that, that would be great.
Craig L. Martin: Well, the part of our business that's most exposed to the fiscal cliff is the federal government business. So that's that piece that we call national governments. And certainly, if, in fact, the sequestration happens, it will have an impact. We expect that impact, in terms of available market, to be more of a '14 than a '13 kind of issue. So we don't think it'll have very much impact at all on this year. With respect to the impact we think it will have as you look out into late '13, '14, we think we can continue to grow share and maintain our overall position even in the reduced market. And so we think we're in a pretty good position to continue to grow. The rest of our business is not likely to be affected, except to the extent that sequestration causes some sort of overall recession or economic problems in the U.S. that are significant, it puts us back in another deep recession. That could impact our other customers' spending and could have some impact on us as well. But for the most part, we think we can sort of just bulldog our way through the effects of sequestration and continue to keep the company on a growth path.
Ankit Varmani - JP Morgan Chase & Co, Research Division: And if you can comment on the nuclear decommissioning opportunities in the U.K.? I think the project, the Magnox contract, is out for bid and what's your take on that?
Craig L. Martin: I have Tom Hammond here who has responsibility for that part of our U.K. business. I'll as Tom to comment.
Thomas R. Hammond: It's unlikely that we're going to participate in the Magnox rebid, but the opportunities, and we've been very successful at winning multiple contracts, at Sellafield in the projects there, ongoing, we're part of several teams and several projects, and this includes decommissioning and cleanup. It also includes new projects to deliver the Sellafield mission going forward. On the particular Magnox sites, we're very active as a second tier contractor. And I think that we're somewhat immune from the rebid because those second-tier contracts will continue to be [indiscernible] regardless of what the results of the prime contract bid would be.
Ankit Varmani - JP Morgan Chase & Co, Research Division: Just a quick one on the balance sheet, the cash balance is to above $1 billion here. Any changes to your thought process on deployment of cash?
John W. Prosser: No, I think we're still looking at the fact that we believe there's a lot of opportunities for acquisitions and growth in that respect. The cash balance and our credit facilities give us the strength to be able to pursue those actively and become an attractive buyer to folks that are looking to sell. So I think that our current outlook is still that the primary purpose of that cash is for acquisitions and growth. We always review periodically other aspects and certainly if we ever got to the point where we felt the cash was greater than what we could deploy back into the business, we'd have to consider other things such as buybacks or whatever. But generally, for the current timeframe, our outlook hasn't changed and we think the market is still very opportune for acquisitions.
Operator: Our next question will come from Michael Dudas of Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Craig, as we look out to 2013, should we concentrate more on general economic activity in North America, Europe, Asia? Or more on some of the discrete decisions that your major customers are going to make on FIDs and certain or FEED work, say, in the North American shale or oil and gas or Middle East? Because your comments about China and the U.S., I didn't know how leveraged Jacobs would be toward growth in China. So I just want to get a sense is it more -- is it overall economics that's going to drive revenues or is it more decisions by your customers on putting up the bids and you guys winning?
Craig L. Martin: One way of describing it, Mike, would be to say that it's both. Let me try to separate it for you. As a company, our belief and our focus is entirely on specific customers and their spending plans. So when we talk about sort of global economic issues, it's about the extent to which what's happening in those economies will affect our customers' commitment decisions. And therefore, their capital expenditures it’s not about those economic situations having any direct impact. So take China, China is a very small part of our business. We're there doing work for our customers who are making foreign direct investment in China, but it's not at that stage where it would move the needle and probably it'll never be so big that it'll move the needle in a major way. On the other hand, China's appetite for commodities and natural resources being what it is, that affects the BHP Billiton's and the chemical companies and the pharmaceutical companies as well. And it's the extent that, that economic situation drives their expectations for capital and new capacity that actually impacts our business directly. So it isn't what China does, it's how much. It's how it affects -- how China affects BHP Billiton or Rio Tinto or Shell or BP or Unilever or Casey or Lilly. And to the extent that they're affected, that affects their capital plans and that's what affects our. So the discussion of the macroeconomic thing, it impacts us but it's very indirect. And we can easily find ourselves in situations where our customers' spending is counter cyclical. We have a couple of big oil and gas customers who always been in the down cycle. And so it's not as easy as if China does well, we do well; or if the U.S. economy is strong, we're strong. I think it's more of a question of what our customers do. The other observation I always want to make here is that we have about 0.2% market share. And so my big worry is getting from 0.2% to 0.3%. And in the scheme of the global economies, that's how the economies do. It's probably not that big a factor. Does that answer your question?
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Follow up on that. Given your views on where the margins are in the public sector and private sector, in what seems to be some pretty interesting growth that you point towards internationally. Two final questions. One, your mix of 60-40 public-private, are you happy with that or is that going to change more to a 50-50 mix as acquisition opportunities allow you to expand internationally and possibly into private markets where, potentially, margin can accelerate a lot quicker in the upcycle that we're all anticipating over the next 3 to 5 years.
Craig L. Martin: I don’t really expect the public-private balance to shift very much. I think it's likely to stay somewhere in the same range, plus or minus a few percentage points. And the reason for that is that there are parts of the public market that remain basically lump sum, competitively-bid delivery models, and we're just not going to be in that business. So there's a part of the public market that's, one, we choose not to capitalize on. And that probably means it won't be 50-50. Because our private sector customers are very much willing to contract for construction on the kind of basis where we are comfortable with the risk.
Operator: Our next question will come from Steven Fisher of UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just at the midpoint on the guidance. It suggested about 12% earnings growth. And just wondering from a revenue perspective, should we assume that the revenue growth would be less than 12% and then you add on some margin improvement on that, or are you still expecting more of the mix to drive margins lower thereby making your 12% all revenue-driven?
John W. Prosser: If things do move towards construction like we expect them to be, we will see the mix changing and that's because of the bigger construction projects tend to have little lower overall margins but bigger revenues. You'll see revenues that will be growing may be a little bit more than what they had the last couple of years. Margins having a little bit of pressure on them. But underlying that, I think that on -- the individual pieces will show steady to improving margins because, for the most part, a lot of the public or the private sector markets are improving. And with that, we tend to see a little bit better pricing in all and as we -- so I think that it’s kind of a roundabout answer but we'd expect over -- maybe not just over '13, but over the next 2 or 3 years to see that shift taking place as we move maybe back more toward 50-50 on the revenue side, based on pressure on the margins and so the revenue will grow a little faster in order to get the bottom line growth.
Craig L. Martin: Another way to look at it may be is if the mix didn't change, we would not need 12% revenue growth to get 12% bottom line growth. But as the mix changes, that sort of upsets the equation.
Steven Fisher - UBS Investment Bank, Research Division: And then just curious what you assumed for refinery turnaround activity in 2013 compared to 2012? Sounds like you may have already started to see some of that activity pick up in your fourth quarter. And then I guess more broadly, what do you think is going to be a better year for U.S. refining for you? Would be 2013 or 2014? Because I know you mentioned some of these crude slate opportunities that could maybe be longer dated.
Craig L. Martin: I think 2013 will be better than '12, but I actually think '14 will be better than '13 in the refining business.
Steven Fisher - UBS Investment Bank, Research Division: I mean can you just talk about, are you expecting a big year, still, for turnaround activity in '13? The things that have been pushed out from '12, are they now going to happen in 2013?
Craig L. Martin: It looks like they will. So a number of the big turnarounds that didn't happen in '12, there at least to have a lot of discussion about in '13 doing turnaround planning for those turnarounds. So I think the turnaround season in '13 will be stronger than it was in '12. And I don't have a forecast for turnaround specifically when you get out past '13.
John W. Prosser: The turnaround activity is broader than just the refining. It's also in the upstream, particularly in the SAGD and such like that. So it's not just focused on refining. It's a little bit broader than that.
Operator: Our next question will come from Brian Konigsberg of Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: Just actually, John, following up on Steve's questions, just about margins. Maybe just clarify this. Before when you had talked about the difference between Field Services and Technical Services, you would say that, I believe, that gross margin profile, there is a differential between the 2 but when you get to the operating margin line, they actually are fairly similar. So you do have a fairly nice growth rate in the top line in 2013. Wouldn't it suggest, just kind of based on the margin comments you're suggesting, maybe the upside or the top end of your guidance is more reasonable?
John W. Prosser: First part of your comment. Yes, at the gross margin level, there's significant difference between Professional Services and Field Services. At the operating margin line, while they are much closer, generally speaking, there is still a differential with the Technical Services being a little higher than the Field Services. And I hate to get too technical -- many layers down, but even within the Field Services you get different margin profiles. Long-term maintenance tends to be a lower margin than turnarounds and turnarounds tend to be a little bit better than full construction activities. So there's a mix within there that in any short-term or any quarter can have an impact on it as well. But overall, when you look at Field Services activity, and it's been relatively flat for the last couple of years, the margins, even the operating margins, there is a little differential and Technical Services margins tend to be little bit higher than the Field Services.
Brian Konigsberg - Vertical Research Partners, LLC: Maybe just moving onto the Middle East and some of the Downstream refining opportunities. So the GES+ contracting seems to be getting close to set. I don't think they have all their participants yet, but I think the slate is almost there. Maybe you could just talk about what you expect to surface in 2013? Does that start to really move the needle?
John W. Prosser: Noel Watson is here with us and Noel is kind of looking over the Middle East in pretty close detail for us. I'll ask Noel to comment.
Noel G. Watson: Well, the activity in the Middle East the GES+ contract slate, you're right, is getting settled. We have a lot of GES+ activity going on and so that contract, at least in the early days, is living up to the promise. But what we see in the Middle East is still, how do I say, a barrage of activity in terms of the spending. Where there's a chemical that we see going on, the refining business. We've got a lube oil refinery we're working on. There's just a wide mix of work going on and the pressure to improve and, let's say, Saudize -- for instance in Saudi Arabia, Saudize, the revenue stream to give the value added to the Downstream product is very strong right now. And we don't see any letup in that at all. I think there's a lot of work there. There's going to continue to be a lot of work. We have positioned ourselves very well. And so we're very optimistic about what the future holds over there and we are being very successful in winning work on almost a constant basis. If that answers the question.
Operator: The next question will come from Will Gabrielski of Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: I was just wondering if you could talk about your nice growth in the process backlog again. And in your press release some work with Kobelco in the quarter and you've talked about that being a driver going forward. But what type of risks do you see in your backlog right now, if any, given what's going on and the uncertainty around mining or do you feel pretty good about the execution schedule you're looking at?
Craig L. Martin: We still feel pretty good about it. The projects that we have in study phase or detail design appear to us to be projects that are going to go forward with customers who have real business needs to do those projects. So I would say, in the aggregate, we're pretty positive about our position with our existing portfolio. We're also pretty positive about our ability to penetrate that small cap and sustaining capital business as these bigger projects work their way through the system.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: And then I was wondering if you can give a little more color on the oil sands? Just, A, from a Jacobs specific standpoint, how you feel you're faring right now competitively up there, both on the capital side as well as on the maintenance side? And then from an end-market perspective, just what your general sense would be around maybe some big awards, potentially, coming your way or to the industry? Or we've seen maybe the peak in project announcements for the recovery in oil sands?
Craig L. Martin: I'll comment quickly and they'll pass it over to Tom Hammond. We don't think we've seen the end of the growth opportunities. We continue to be the top-line player in the industry up there, both in the engineering side and on the construction and maintenance side. And I think we have every reason to think that'll continue. Tom?
Thomas R. Hammond: Well, I think, let me address the maintenance business first. First of all, that business doesn’t -- the mix of customers does not change dramatically year-to-year. That's a long-term business and typically while owners may recompete periodically, it's typically on a 3, 5, 7-year kinds of cycles. So what drives that business from our standpoint on a more day-to-day basis is, is a particular owner, where we're on the site, going to do a major turnaround that year or not. That's a far bigger driver than we add a site or lose a site on a year-to-year basis. In terms of the engineering activities, we have a good mix of projects in both early phase, study phase, speed phase as well as the detail design and ready to move into the construction phases. I think we'll see a lot of activity in the spring of this year. We've got a couple of programs that have life to them where projects are working their way through and they're very large. And that's very positive. I think the biggest variable up in Canada right now, from a business standpoint, is the projects are reaching the point where they're going to go into construction and for Jacobs that means an opportunity to do the construction but also leverage our modular shops in Edmonton and in Charleston and Pickering to support the construction activities. Craig said it, '13 is going to be far stronger than '12. We think '14 will be better than '13.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: But in terms of competition?
Thomas R. Hammond: Well, the competition is fierce but that's true just about everywhere in the world all the time. We have a very strong presence in Calgary. It's a good market and obviously, that entices others to try to dip their toe into that market and see what they can do. But our competitors remain the same -- our real competitors remain kind of the same cast of characters they always have been.
Operator: Our next question comes from Robert Connors of Stifel, Nicolaus.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: You guys talked about U.S. Downstream engineering capacity needing to increase by about 250%. But I didn't really hear you mention that you are looking at any sort of M&A targets within the Downstream arena with the North America presence. Just wondering if that has any interest to you guys? And then also, if you're starting to see a pickup in some of the multiples on the M&A space with a company that has that profile?
Craig L. Martin: We don't see any advantage to acquisitions in terms of the U.S. process engineering capacity. It's really just a matter of attracting the people to do the work. We have the infrastructure and the geography to have -- to meet that requirement. So I don't think that's a big consideration. As we look at M&A multiples, we have not yet seen a lot of movement. But the fact that we're not looking for acquisitions along the Gulf coast, in particular, may mean that there's movement there and we're just not aware of it. In the overall global market, multiples have, if anything, softened just a little bit. With respect to the margin impact of all of this work, we think there'll be some positives out of the margin impact, but we think it's probably late '13 kind of where it really starts to move the needle.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: And then if I could sort of ask the margin question in a different way. With the mix shifting to more Field Services, do you think that you'll see the same margin pressure on the scope margins, excluding pass-throughs as we'll see on the reported GAAP margins?
John W. Prosser: We don't report -- we don't really monitor "scope margins." So I really can't comment on them.
Operator: [Operator Instructions] The next question will come from Stewart Scharf of S&P Capital IQ.
Stewart Scharf - S&P Equity Research: Could you add a little color to what you mentioned about unit margins on the Federal side and just talk a little about your feel for the government and going forward and projects in that the area and how the unit margins remain strong? And you mentioned the overall margins will be weaker and how you look to offset that and maintain stronger margins?
Craig L. Martin: Well, to make it clear, historically, the public sector margins have been based on a multiplier approach where your multiplier includes whatever your cost structure happens to be. And the procurement process under what's called the Brooksville or similar sorts of policies or legislation, require that selection be made without regard to the cost structure of the selected company. What that has produced from a historical point of view is relatively higher gross margins in that sector of the business than in any other sector. Because it has been a relatively genteel business in which to bid. As we have seen the impacts of funding shortfalls across the public sector, we've seen an increasing focus where they can do so on considering price as part of the selection process, what's called a best value selection. And that is driving down margins in the public sector to some extent. But even with that best value look, unit margins remain higher in the public sector than they are -- gross margins, we're talking about here, than they are in the private sector. And I expect the trend for unit margins in the public sector to continue to be pressured but I don't think they'll get to private sector levels. Now, if you have a low-cost structure like we do, and we run our business from a cost point of view, the same whether it's public sector or private sector, all this gives us an advantage in terms of capturing share. So on any given best value procurement, we're comfortable we can deliver a competitive price, perhaps the lowest price. And then if our -- the offering is otherwise, top quality, we think we could win more best value procurements. So that's really what's going on from the margin side in the public sector. Does that answer your question?
Stewart Scharf - S&P Equity Research: Yes. And also regarding the budgets for oil projects and the oil sands and major oil companies, in the past they've, basically, I believe, been in the range of 65,000 to 70,000 barrels. Is that still pretty much the range?
Craig L. Martin: I have frankly have heard all kinds of numbers recently from different sources. The low side of what I've heard is in fact $65. I think that's probably lower than the truth. The high side is in the high 70s right at 80. To my way of thinking, that's probably closer but maybe a little on the high side. But that's the range that we're hearing and different customers seem to be looking at it differently.
Stewart Scharf - S&P Equity Research: And I thought when you mentioned about the engineers growing to 12,000, did you say that's by July '13?
Craig L. Martin: Yes.
Operator: And ladies and gentlemen, that will conclude our question-and-answer session. I would like to turn the conference back over to Jacobs Engineering's Chief Executive Officer, Mr. Craig Martin, for his closing remarks.
Craig L. Martin: Thank you, Denise. We had what I think of as a really good quarter. I'm proud of the performance of our team. It brought us in from a pretty good year, not quite up to our 15% growth objective but still in a year where we've made very few acquisitions, we did quite well. As we look to '13, I think the outlook is the same. I expect us to do well even in spite of the uncertainties. I think there are various ways under various scenarios that we can continue to grow the company nicely. And so we have a pretty good outlook and we're pretty upbeat about what FY '13 and beyond looks like for Jacobs. And with that, thank you, all, for listening.
Operator: A ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect your lines.